Operator: Good afternoon, ladies and gentlemen, and welcome to the AppFolio Inc. Announces Second Quarter 2020 Financial Results Conference Call. [Operator Instructions] As a remainder, this call is being recorded. I would now like to turn the call over to your host, Ms. Erica Abrams. You may begin.
Erica Abrams: Thank you. Good afternoon, ladies and gentlemen, and thank you for joining us today as we report AppFolio's second quarter 2020 financial results. With me on the call today are Jason Randall, AppFolio's President and CEO; and Ida Kane, AppFolio's Chief Financial Officer. This call is simultaneously being webcast on the Investor Relations section of our website at www.appfolioinc.com. Before we get started, I would like to call everyone's attention to our Safe Harbor policy. Please note that certain statements made on this - within the meaning of the federal securities laws that are subject to considerable risks and uncertainties. Actual results or performance may be materially different from any results, performance expressed or implied by the forward-looking statements. Forward-looking statements including any such statements referring to the potential effects or impacts of the COVID-19 pandemic on AppFolio's business may relate to future plans and financial conditions, results of operations, business forecasts and plans, strategic plans and objectives, product development plans, trends affecting our business and industry and the economy as a whole, capital needs and financing plans and various commitments and contingencies, including with respect to the outcome of legal proceedings or regulatory matters. Please see our filings with the SEC, including our Form 10-Q which was filed earlier today for greater detail about risks and uncertainty. Forward-looking statements are based on reasonable assumptions as of today and we assume no obligation to update any forward-looking statements after today, even if new information becomes available in the future unless required by law. Now, I will turn the call over to Ida Kane, CFO of AppFolio.
Ida Kane: Thank you, Erica, and welcome to everyone joining us on the call today for AppFolio's second quarter of fiscal year 2020 financial results. Before I get started on the financial highlights for the quarter, I wanted to take a moment to thank our over 1,300 employees and their families for their professionalism and dedication during these difficult times. Our AppFolians have remained focused on developing innovative products and providing excellent services and support to our customers, and we are proud of their commitment to our business. We believe our people and culture are the heart of our success and the current environment has only amplified that belief. Turning to the numbers, we reported total revenue of $81 million during the second quarter, a 27% increase year-over-year. GAAP net income was $19.3 million or $0.54 per diluted share for the quarter, including an income tax benefit of $13.5 million, which is attributable to tax benefit associated with stock-based compensation expense and research and development tax credits that follow our forecasted pre-tax results for the year. Also included in our second quarter results are $2.8 million in non-cash charges related to stock-based compensation. For those of you, who track non-GAAP results, our Form 10-Q was filed today and includes more details that you may find helpful in calculating non-GAAP results on your own. Second quarter revenue from core solutions grew 21% to $26.1 million primarily driven by a 17% growth in the average number of property management units under management, resulting from a [technical difficulty] growth in the average number of property management customers. Second quarter Value Plus services was $51.6 million, a 32% increase year-over-year, also driven primarily by the increase in property manager customers and [technical difficulty] majority of our Value Plus services revenue comes directly and indirectly from our customers use of our electronic payment services, tenant screening services and insurance services and screening services experienced increased demand during the most recent quarter as residents, property managers, owners and customers transacted more business online. We ended the second quarter with 15,011 real estate property manager customers, managing an aggregate of 4.9 million units in our portfolios compared to 13,737 customers and 4.23 million units under management reported one-year ago. In the legal vertical, we reported 11,305 customers, up from 10,631 one-year ago. Our software solutions enabled a digital transformation that many businesses need to grow, especially today. While we are encouraged by the demand we have seen since our last earnings call, we continue to see some demand variability related to our product and service offerings. We believe the remainder of the year will continue to be dynamic and it is unclear the extent to which the recent trends will continue. Turning now to expenses, total costs and operating expenses for the second quarter increased 22% year-over-year on a GAAP basis compared to an overall 27% increase in total revenue. Our year-over-year increase in costs is primarily related to our 15% year-over-year growth in headcount to support new offerings and customers we believe will positively impact long-term shareholder value. Included in cost of revenue expense [technical difficulty] from third-party service providers related to programs intended to [technical difficulty] online payments. This was recorded as an offset to cost of revenue during the second quarter. Under this program, we could be eligible for an additional $2 million incentive in 2021. Included in general and administrative expense is $4.25 million related to the potential settlement arising out of or related to the previously disclosed FTC investigation into our tenant screening value plus service. We believe this is a reasonable estimate based on information currently available to us. For additional information, you can refer to Note 9 commitments and contingencies in our financial statements. During the quarter, we extended our remote workplace timeframe through at least the end of this fiscal year. As I mentioned in the first quarter earnings call, we have significantly reduced both costs associated with running our facilities, while our employees are working remotely and nonessential expenditures. In addition, advertising and promotion costs decreased in the second quarter, primarily due to the cancellation or postponement of in-person events and reduced online marketing spend. Offsetting some of those cost reductions is our continued investment in headcount, which we believe will help us continue to make long-term business progress. We also saw an adjustment to performance-based compensation expense of $2.8 million related to increases in estimates for annual performance accruals. We have a limited history of the long-term impacts of remote work and the resulting types of investments necessary for our employee base and could have more variability in our expenses related to this, then we would have otherwise expected as we progress through the balance of 2020. Moving to the balance sheet, we closed the quarter with approximately $80.2 million in cash, cash equivalents and investment securities. Including our first quarter of 2020 drawdown on our revolving facility in the amount of $49 million, we ended the second quarter with $97.1 million of total debt. We generated $24.3 million from operating activities in Q2. Our primary uses of cash in the quarter were capital expenditures of $6.3 million related to the build-out of our corporate headquarters in Santa Barbara that was substantially completed during the second quarter of 2020. We also realized capitalized software development costs of $5.9 million in connection with continued investment in our technology and service offering. Despite the generally positive quarterly results, we continue to proceed with caution given the uncertainty the COVID-19 pandemic could cause on markets we serve and on the broader economy. We are still unable to predict with any reasonable degree of certainty the full extent of the potential impact of the pandemic on our business and financial results. As a result, we are not communicating full year revenue guidance for fiscal year 2020. We continue to expect our diluted weighted average share count for the year to be approximately 36 million shares. With that, I will turn the call over to Jason for additional comments.
Jason Randall: Thank you, Ida, and thanks to everyone for joining us today. In the second quarter of 2020, we continued on our mission to revolutionize vertical industry businesses by providing great software and service to our expanding customer base. I want to echo Ida's remarks regarding our employees professionalism and commitment. The COVID-19 pandemic and remote work environment have unquestionably added personal and professional challenges for many of us but our team has continued to lean in despite those challenges and we all appreciate their continued effort in that regard. With that said, we continue our focus on delivering long-term value via transformational technology and remain committed to our strategy of delivering rapid and consistent innovation and exceptional customer experiences while maintaining our strong team, our culture and trusted partner relationships. In our real estate vertical in the second quarter, we partnered with customers to provide education and peer networking opportunities, shifting our focus to hosting a variety of events and customer networking exchanges virtually rather than in person. Our commitment to innovation, we're helping our customers maintain an advantage in the areas of remote work capabilities and communication, and for our property manager customers, we are bringing key workflows such as leasing online. To that end, we expanded our AppFolio Property Manager capabilities in Q2 to include AppFolio virtual showings, a virtual leasing experience that allows customers to conduct leasing operations even during times of social distancing. Since releasing virtual showings, we've seen encouraging customer adoption and industry feedback on its increasing importance for property management businesses in the long-term. According to a recent AppFolio industry survey, 71% of respondents said their priority for implementing virtual showings has increased, which only reinforces our belief that property managers view virtual showings as more than just an immediate solution to a short-term problem, in fact, virtual showings are here to stay. We also expanded the virtual leasing experience with the release AppFolio 3D tours in the second quarter, which is designed to make it easier for prospective residents to engage with available units and self-qualified at a distance with a 3D virtual tours that can be embedded into our customers AppFolio powered websites. Another critical issue for our customers during this time is resident retention. With the enhancement of our integration with Blue Moon software, one of the most widely used online lease services, our customers now have even more streamlined lease renewal and online leasing at least signing capabilities to help facilitate a great experience for renters. In AppFolio Property Manager PLUS, our customers managing larger portfolios and teams at scale now have access to an advanced leasing metrics dashboard that organizes key leasing data into a single real time view, eliminating time consuming manual data collection, validation and analysis. These capabilities are designed to enable our larger customers to manage distributed teams and portfolios across multiple regions, bringing together end-to-end performance data on critical workflows, managers have increased visibility and oversight to drive efficiency and continuity. We believe that this is especially important now with team members working remotely. We are seeing these innovations translate into positive outcomes for our customers. For example, Jon Snow, who manages over 1,100 units on AppFolio Property Manager, CEO of Crescent Kenyan Management recently said, AppFolio has been quite frankly essential to the rapid growth of our business. I simply can't imagine thriving in today's multifaceted environment without the tech for solutions of AppFolio. Managing community association portfolios, we remain focused on areas that streamline efficiency and help them better serve their homeowners and board members. In the second quarter, we released auto reconciliation functionality, which allows our customers to reconcile their bank accounts using live data from our major bank partners, saving time by doing away with the repetitive manual tasks associated with bank statement reconciliation. Additionally, we extended features to include a community map with real time GPS tracking, violation management from the field and both processing of violations. Turning to AppFolio Investment Management, we expanded key capabilities in the second quarter that allow Real Estate Investment Management customers to provide an exceptional investor experience while also gathering the insights and maintaining the visibility they need to more effectively manage and grow their business. This includes new investor level metrics in investor and investment reports that customers can leverage to calculate and share customized performances, performance metrics directly with the investors in the AppFolio Investor Portal. Additionally, we improved the system activity and audit logs that maintain a record of all activities across all investments, investing entities and distributions, providing enhanced visibility and oversight for investment managers. In our legal vertical, MyCase continue to help law firms acquire new clients and adapt to remote work. Todd Spodek, Managing Partner at Spodek Law Group said, I can't imagine what a firm would do if he didn't have MyCase in the midst of COVID-19. It would be so much more difficult to operate, keep everything organized and communicate in a seamless way. In that regard, to help firms acquire new clients, we released online lead capture forms that allow our customers to more easily collect information from prospective clients and manage the resulting lead to MyCase. We also expanded the functionality of e-signatures as law firms, their clients and the court systems increasingly rely on technology that supports remote interactions in the current environment. As I said at the outset, our team has continued to develop innovative products and deliver exceptional support and services in a difficult environment. We believe engaged happy employees deliver a better customer experience. Andrew Greenberg, Vice President at Trilogy Management and AppFolio Property Manager PLUS customer recently summed it up. When he partnered with AppFolio, we were not only signing up for the software today, but everything that is to come in the future. The team at AppFolio is treated us like partners versus customers. Our commitment to the customer success has not gone unnoticed. During the second quarter, we are recognized for a dedication to these principles from both the product innovation and cultural standpoint. G2 Crowd listed AppFolio Property Manager as a 2020 top 100 software product solely based on customer feedback and reviews. While Software and Information Industry Association CODI awards have said AppFolio Property Manager PLUS as a 2020 best business intelligence solution finalists. And for the third year running, we received certification is a great place to work, a recognized authority on global workplace culture. In summary, we remain focused on our customers, our innovative technology and our robust services and support and we'll continue to make investments that drive long-term growth in the business. We are paying close attention to our customer's unique needs during this time partnering with them for the future, while continuing to monitor and adapt to the changes in the market. Thank you all for joining us today. I will now turn the call back to the operator. Please go ahead.
Operator: This concludes today's conference call. If you would like to hear replay of the call, please dial 1800-585-8367 or 404-537-3406. Again the replay number is 1800-585-8367 or 404-537-3406. You may now disconnect.
Q -: